Operator: Good morning. My name is Gigi and I will be your conference operator today. At this time, I would like to welcome everyone to the Karyopharm Therapeutics First Quarter 2019 Financial Results Conference Call. There will be a question-and-answer session to follow. Please be advised that this call is being recorded at the Company’s request. I would now like to turn the call over to Mr. Ian Karp, Karyopharm’s Vice President, Investor and Public Relations.
Ian Karp: Thank you, Gigi, and thank you all for joining us on today’s conference call to discuss Karyopharm’s first 2019 financial results and business update. This is Ian Karp and I’m joined today by Dr. Michael Kauffman our Chief Executive Officer; Mr. Mike Mason, Chief Financial Officer; Mr. Christopher Primiano, Chief Business Officer and General Counsel; and Mr. Anand Varadan, our Chief Commercial Officer. On the call today, Michael Kauffman will provide an overview of some of our recent corporate developments. Then, Mike Mason, will provide an overview of the first quarter 2019 financial results. Dr. Kauffman will then discuss our key upcoming milestones and provide some summary remarks. We will then open up the call for your questions. Earlier this morning, we issued a press release, detailing Karyopharm’s results for the first quarter of 2019. The release is available on our website at karyopharm.com. Before we make our formal comments, I’ll remind you that various remarks we will make today constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. These include statements about our future expectations, clinical developments and regulatory matters and timelines, the potential success of our product candidates, financial projections, and our plans and prospects. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our most annual report on Form 10-K which is on file with the SEC and in other filings that we may make with the SEC in the future. Any forward-looking statements represent our views as of today only. While we may elect to update these forward-looking statements at some point in the future, we specifically disclaim any obligation to do so, even if our views change. Therefore, you should not rely on these forward-looking statements as representing our views as of any date subsequent to today. In addition, please note that any references we make to clinical trial data during today's discussion refer to interim unaudited site data, unless otherwise specified. I'll now turn the call over to Dr. Michael Kauffman, Chief Executive Officer.
Dr. Michael Kauffman: Thank you, Ian, and good morning, everyone. Thank you for joining us on today's call. I will begin with a quick overview of recent Company events and developments. First, in mid-March the FDA extended the PDUFA action date for the selinexor new drug application by three months to July 6, 2019. This extension followed the FDA Oncologic Drugs Advisory Committee Meeting that was convened on February 26, to review data supporting our NDA, requesting the accelerated approval for oral selinexor in combination with low-dose dexamethasone for patients based on the results of the single arm Phase 2b STORM study. At the conclusion of the ODAC meeting in a vote of eight to five, the committee recommended that the FDA wait for the results from Karyopharm’s randomized open label Phase 3 BOSTON study evaluating selinexor in patients with previously treated myeloma, before making a final closing regarding approval. After the conclusion of the ODAC meeting, Karyopharm continued to have productive discussions with the FDA regarding the selinexor new drug application. At the request of the FDA, Karyopharm submitted additional existing clinical information as an amendment to the NDA. Following the review of these additional data, the FDA extended the PDUFA action date by three months. Since then, we have been working closely with FDA as they complete their review of the selinexor new drug application and we remain deeply committed to bringing selinexor into the hands of physicians treating patients with refractory multiple myeloma. While the FDA will consider the recommendations of the advisory committee, the final decision regarding approval of the product is made solely by the agency. The recommendations of the advisory committee are non-binding. As a reminder, the BOSTON study, which was only enrolled this past January, is evaluating selinexor in combination with Velcade, also known as bortezomib, and dexamethasone, compared to Velcade and dexamethasone alone in patients with myeloma who have had one to three prior lines of therapy. As progression-free survival is the primary endpoint, we expect to have top-line results from that study by the end of 2019 or into 2020 depending on the occurrence of the progression. In the recent meeting of the Data Safety Monitoring Board, no new safety staples were identified on the study. And based on the first interim analysis, the Board recommended proceeding with the study as originally planned with no changes in patient numbers. As we await the conclusion of the FDA’s review, we have also been very active in preparing for the potential commercial launch of selinexor in the United States. In January, we hired our commercial sales force of approximately 60 sales representatives and 8 nurse liaisons. Should selinexor receive FDA approval by the updated July 6 PDUFA date, our commercial team will be in an excellent position to support successful United States launch. In parallel to the U.S. activities, we announced in early January that we have submitted a marketing authorization application to the European Medicines Agency, requesting conditional approval for selinexor in the same triple class refractory myeloma indication as in the United States. As is a customary part of the marketing application and review process, we received a consolidated list of questions from the EMA in early May 2019. To provide adequate time to evaluate the application and allow us to respond to the questions and feedback, the EMA has switched the application from accelerated review to a traditional review. We expect to receive a decision on the application by the end of 2019. Shifting gears now to our selinexor development programs beyond myeloma. For diffuse large B-cell lymphoma following the presentation of positive top-line results from the Phase 2b SADAL study in ASH 2018 and the receipt of Fast Track designation from the FDA during the fourth quarter of 2018, we are now working towards a new drug application and marketing authorization application submissions requiring accelerated and conditional approvals, requesting accelerated and conditional approvals, respectively. For patients with relapsed or refractory DLBCL who have received at least two prior multi-agent therapies and who are ineligible for stem cell transplantation including CAR-T therapies. We are working with both the FDA and EMA to determine the appropriate timelines for these submissions and expect to have some greater clarity following the FDA decision on our new drug application requesting accelerated approval for our oral selinexor in myeloma. Next, I’d like to discuss some recent developments for our selinexor program in endometrial cancer where there are currently no approved therapies for the treatment of patients in the maintenance setting following initial chemotherapy. During the first quarter an investigational new drug application was submitted and accepted by the FDA for a randomize blinded Phase 2/3 titled the SIENDO study, evaluating selinexor versus placebo as a maintenance therapy in patients with advanced or recurrent endometrial cancer following their initial platinum-based treatments. The primary endpoint in the SIENDO study is progressing-free survival. This study was previously an investigator-sponsored trial and has subsequently transitioned to a company-sponsored study. We are targeting complete enrollment in this study in 2020. We have also seen further progress across a number of additional clinical programs. Two selinexor abstracts have been selected for presentation at the upcoming American Society of Clinical Oncology, or ASCO Meeting, 2019, in late May and early June in Chicago. The first will be an oral presentation describing results from the Phase 2b KING study, evaluating single-agent selinexor in patients with recurrent glioblastoma; and the second will be a poster presentation with discussion describing additional overall survival from the STORM study in patients with heavily pretreated myeloma. And finally, on the corporate front, we recently appointed Tina Clark Beamon as a Chief Compliance Officer. Tina formally served as Executive Director of Compliance and Ethics at Alexion Pharmaceuticals. She brings to the Company 21 years of healthcare industry experience, and her appointment reflects our ongoing commitment to maintaining a highest compliance and ethics standards as we transition to a commercial stage organization. With that, I’ll now turn the call over to Mike Mason for an overview of the first quarter financials. Mike?
Mike Mason: Thank you, Michael. Since we issued a press release earlier today with full financial results, I will just focus on highlights. As of March 31, 2019, cash, cash equivalents and investments including restricted cash totaled $265.1 million compared to $330.9 million as of December 31, 2018. For the first quarter of 2019, license and other revenue was $0.2 million compared to $10 million for the first quarter of 2018. The revenue in 2018 was from the $10 million upfront payment for the asset sale of KPT-350 to Biogen in the first quarter of 2018. For the quarter of 2019, research and development expense was $38 million compared to $41.3 million for the quarter 2018. We expect R&D expense to decrease going forward in 2019 compared to the first quarter of 2019, largely due to reduced spend from the BOSTON and SADAL trials. General and administrative expense for the first quarter of 2019 was $27.1 million compared to $7.6 million for the first quarter of 2018. The increase was due primarily to the hiring of the Karyopharm commercial team and related commercial launch preparation activities to support the potential U.S. commercial launch of selinexor. Assuming a commercial launch by July, we expect G&A expenses for the remainder of 2019 on a quarterly basis to be relatively consistent with Q1 2019. For the first quarter of 2019, we reported a net of loss $66.2 million, or $1.09 per share compared to a net loss of $38.5 million or $0.78 per share for the first quarter of 2018. Net loss includes stock-based compensation expense of $3.9 million and $4.2 million for the first quarters of 2019 and 2018 for respectively. Based on current operating plans, which assume a selinexor commercial launch by July 2019, we expect our full-year operating expense to be between $200 million and $215 million excluding stock-based compensation. Additionally, we expect that our existing cash, cash equivalents and investments will be sufficient to fund our operations into the second half of 2020. If the FDA decides to delay its approval decision for selinexor until the BOSTON data are available, we will reevaluate our spending expectations for 2019 and update the investment community at the appropriate time. I’ll now turn the call back over to Michael for concluding remarks. Michael?
Dr. Michael Kauffman: Thank you, Mike. Before moving to the Q&A, I’d like to provide an overview of our key upcoming milestones. For our first selinexor NDA, we continue to work collaboratively with the food and drug administration towards the July 6, 2019 PDUFA date and prepare for a potential commercial launch by mid-year. We are continuing to work closely with the EMA in support of our MAA, requesting conditional approval for selinexor in patients with triple class refractory myeloma and expect a decision by the end of 2019. For our next potential indication in relapse or refractory DLBCL, we plan to submit an NDA to the FDA with a request for accelerated approval and we’ll be working with the FDA over the coming months to determine most appropriate timing for submission. We also plan to submit an MAA with a request for conditional approval for oral selinexor in this patient population. For the pivotal Phase 3 BOSTON study, enrollment was completed in January and top-line data are expected by the end of 2019 or end of 2020, depending on the occurrence of progression events on the trial. If positive, these data could support regulatory submissions in 2020 in second line myeloma. Next, the various arms of the Phase 1b/2 STOMP study continue in myeloma, and we look forward to presenting updates from various combination arms at future medical meetings. And finally, we will continue to progress our solid reports, [ph] presenting updates from the various combination arms at future medical meeting. And finally, we will continue to progress our solid tumor programs in liposarcoma in endometrial cancer. In closing, I’d just like to say that we remain deeply committed to working with the patients, physicians, regulators and the overall myeloma community with the goal of bringing selinexor to the market as a new treatment option for patients who are in dire need of novel therapy to treat highly refractory disease. I’ll now turn the call over to the operator for questions. Operator?
Operator: [Operator Instructions] And our first question is from Brian Abrahams from RBC Capital Markets. Your line is now open.
Brian Abrahams: Hi. Thanks very much for taking my questions. My first question, what efficacy data would you be able to provide to the FDA in the BOSTON study, ongoing BOSTON study, without comprising the integrity of that trial, and what mechanisms and processes might be in place to do that? And I’m curious what -- I guess, what degree of maturity of data would be available, just based on the trajectory of enrollment, which I know completed in January, ahead of the July PDUFA? And then, I have a follow-up.
Dr. Michael Kauffman: Yes. So, point one and very important is that the FDA has specifically asked us not to disclose what data they requested and what data they reviewed in their review of the application. Separately and independently of that, what we have said is that our Data Safety Monitoring Board, which meets periodically throughout the trial, did review and go through the first interim analysis which includes both the safety review including an analysis of fatalities on each arm of the trial and in addition, certain efficacy data, which is assembled by a third party and for which we are blinded as a company. Based on the safety review, they found no -- in safety findings and no concerns about any potential imbalances on the trial. And on the efficacy side, what we know is that the DSMB did not recommend any alteration to the sizing of the trial suggesting that -- and they did not indicate this is futile, so that the trial is proceeding along the lines for which it was originally designed.
Brian Abrahams: And can you provide any more details on sort of the parameters around that interim with respect to what the bar might have been for futility or for resizing?
Dr. Michael Kauffman: We don’t disclose those data. But, what you can glean from the statistical parameters in the study is that we’re looking for approximately a 30% improvement in the overall progression-free survival in the study, and that’s the primary endpoint. And as you know, the key secondary endpoint is the overall response rate.
Brian Abrahams: That’s really helpful. One more for me, if I could. Wondering if you could give us anymore detail on how the EMA review process is going. And maybe just qualitatively, the nature of their questions, were they sort of asking some of the same questions that -- some of the same data that FDA was -- or might we think about the European processes being a bit different just given the way they look at, and their preference for oral drugs in this disease? I’ll hop back in queue. Thanks.
Dr. Michael Kauffman: Yes. I think it’s safe to say that generally speaking, there are no surprise questions at all from the European, they largely follow the FDA’s questions. And just given the size of this application and the time coming back, we’ll be able to turn this around in the timeframe that gives us an answer by the end of the year.
Operator: Thank you. Our next question is from Maury Raycroft from Jefferies. Your line is now open.
Unidentified Analyst: Hi, guys. This is Mitchell on for Maury. Thank you for taking our questions. So, I wanted to ask if you’re able to give any kind of context around the -- what the FDA was looking for? Is it more on the safety side or the efficacy side as well?
Dr. Michael Kauffman: The FDA was quite responsive to us after the conclusion of the ODAC meeting. I think, one of the lines that I’m happy to share with you that they said to us that they not only look at the total vote, but they look at the content of the comments in the vote. And I think there were several members of the ODAC committee that seem to understand myeloma in great detail and have some comments that seem to resonate with the FDA regarding selinexor efficacy and safety data. I think FDA was just looking for additional reassurance that some of these comments were correct. And I will add that the underlying theme with what was ongoing at the time regarding the venetoclax in its Phase 3 with venetoclax Velcade dex versus Velcade dex, FDA was continuing to conduct its own analyses throughout our review process and during our ODAC process. And about two weeks after ODAC, FDA released clinical hold, or put on and implemented clinical hold on venetoclax. And I think there’s just been a heightened sensitivity around both efficacy and safety in myeloma, and FDA was doing its appropriate due diligence on all new drugs being developed in this area.
Unidentified Analyst: Okay. Thank you. That’s helpful. And then are you able to say if they requested any additional data beyond BOSTON, or is that limited just to that?
Dr. Michael Kauffman: No, I can’t speak to any of the data that specifically what they requested. But, it was a very wholesome review of the entire dataset. And again, with the backdrop of venetoclax and other results in myeloma, they were doing their appropriate diligence to make sure that they understood fully the behavior of our compound.
Operator: Thank you. Our next question is from Jonathan Chang from SVB Leerink. Your line is now open.
David Ruch: Hi, guys. This is David Ruch on for Jonathan. Thanks for taking our questions. First question, could you help set investor expectations on the KING data coming at ASCO, since it’s been a while since we’ve seen those?
Dr. Michael Kauffman: Yes. To put in perspective, the KING study was conducted in patients with previously treated and progressive glioblastoma multiforme that is GBM, which is type 4 glioma. And these patients really have no known treatment options of benefit. This was a single agent selinexor study, which included a dose finding component et cetera. And what we’re looking for is, both responses and disease stabilization, and that’s what we reported at ASCO in the oral presentation.
David Ruch: Great. Thank you. And could you provide any further context on the EMA decision specifically to switch from the accelerated review to traditional? And do you expect the EMA’s decision by the end of 2019 regardless of what happens in the interim.
Dr. Michael Kauffman: We think that the EMA certainly watched ODAC very carefully but they had their own set of questions. As I mentioned before, this is the large application, this is one of the largest safety databases with over 1,000 patients treated with hematologic malignancies in the safety database for selinexor. This is much bigger than most other accelerated approval, safety databases in myeloma or other diseases. So, I think it’s the large amount of data. It’s the diversity of diseases, a large number of questions, a lot of which are very similar to what the FDA has answered. So, we weren’t surprised at all, just the size of the data package.
David Ruch: Great. And then, regarding timing?
Dr. Michael Kauffman: We think the Europeans are pretty good about making sure that they stay on their timelines. Remember that the EMA process does depend on the Company’s stability to return information in a timely fashion. So, part of the extension here was because they wanted to stay ahead, a large number of questions, again none of which were unexpected, but they wanted to make sure that the Company had plenty of time to return the answers.
Operator: Thank you. Our next question is from Arlinda Lee from Canaccord. Your line is now open.
Unidentified Analyst: Good morning. It’s Dan on for Arlinda. Thanks for taking my questions. Many of them have been answered. But, I’m just wondering if you could provide a little bit of additional color on FDA discussions and maybe questions since the panel. Was there anything that in your mind stood out that might have caught the FDA’s attention to, as far as questions or concerns or comments made by any of the panel members that might have made them take another look at their work?
Dr. Michael Kauffman: Yes. Look, we can all dance around this. The FDA is taking another look or we wouldn’t have had the three-month PDUFA extension. I think that there was unfortunately -- and this has been the trend, it’s difficult to get myeloma doctors on the panel who haven’t worked with the companies and so are not conflicted. Dr. Clifton Mo [ph] was the sole myeloma expert on the panel. And certainly from our perspective, he did an excellent job, summarizing this six or seven major FDA concerns and really doing a nice job laying those concerns at least in his mind why this drug had extraordinary activity and deserved accelerated approval in his mind, based on what the FDA presented and based on Karyopharm presented. In particular, he indicated this was the most heavily pretreated population ever studied in any trial and it was the most aggressive myeloma that has been reported on to-date. He indicated that while the drug certainly had more dose reductions than most of the other drugs in myeloma, the fact that this was a patient population that was so heavily pretreated, really was not surprising. And given the co-morbid conditions of these patients, both because of their myeloma and because of their accumulated toxicities from other drugs, finally and also because their older patients with lots of other diseases, he wasn’t surprise by that. And he said as an oncologist that he could easily handle these dose reductions. I think, he allayed some concerns that are serious adverse event rate was higher with this drug and he indicated that in his mind it was similar to the other small molecules that are already approved in earlier stage myeloma patients. And he indicated that the kinds of infections that we’re seeing in our trial are unfortunately no different than what is seen in essentially all other myeloma trials, it’s just the nature of this disease and the immunocompromised from myeloma. So, I think they listen to him a lot. I think they listen to Dr. Harrington on the statistics side, who was pretty convinced that this compound had clear single agent activity, even though it’s used with low-dose dexamethasone. And I think they have been convinced by the panel and by additional data provided that the low-dose dexamethasone contributing little or nothing to the actual ORR study.
Operator: Thank you. [Operator Instructions] And our next question is from Eric Joseph from JP Morgan. Your line is now open.
Unidentified Analyst: Hey, everyone. This is Turner on for Eric, a couple of questions from us. I think Michael, I think you previously cited mature duration of response so to gain factor to SADAL filing. How should we be thinking about the level of sensitivity around the DOR that we initially saw reported at ASH in 2018, given the number of sensitive events? And then, second part to that, what would be viewed as clinically meaningful or data that you could file on with respect to DOR and PSF, looking towards the first half 2020 submission?
Dr. Michael Kauffman: Sure. Good points. So, remember that accelerated approval in response rate and duration of response are important. There have been no drugs, no small molecule drugs approved in DLBCL period. And the small molecule drugs that are sometimes used such as REVLIMID and to some extent ibrutinib, are mainly restricted to ABC subtype of the disease, and unfortunately have single agent durations of response that are in the four-month range, which are not considered in lymphoma are not considered durable. I would comment on the side that in myeloma four months in refractory population it considered quite important. In lymphoma, they’re looking for -- typically they’re looking for at least six-month durations of response, and we consider that our goal for this study and then looking for response rates above the 20% to 25% rate in these patients who have no other options. So, I think those are the bases. I think, we will update in the future I hope on the state of results because you’re correct that one of the reasons the FDA asked us to just hold on the application until we have mature data was because of the number of sensitive events on the DOR. We want to make sure we cross that six-month line with the vast majority of patients already having crossed that line as opposed to being early on. So, we’ll have to wait and see in terms of public disclosure data. But we are excited and we remain confident on these kinds of durations that are north of seven months for our drug with response rates in the high 20s to 30% are real, and we’ll hold up and that we’ll be able to submit the application.
Unidentified Analyst: Could we potentially anticipate some data sometime this year, on maybe at EHA or ASH?
Dr. Michael Kauffman: We could potentially anticipate that.
Unidentified Analyst: And then, one last one from us. SIENDO is now company-sponsored trial, which requires obviously certain amount of investments. Has there been any impact on the P&L that hasn’t been incorporated into prior guidance? And I'm just kind of curious, how has your thinking changed with respect to the probability of success and indication to convert to company-sponsored trial versus an IST?
Dr. Michael Kauffman: Yes. I’ll just start and then I’ll turn it over to Mike for the budgetary question. I think, we’re increasingly excited about potential for this drug in that indication, and we want to move it faster than is possible in an investigator-sponsored trial. So, that was the reason for what was done. The lead investigator is [indiscernible] in Europe, and he’s been a huge supporter of this program and will continue to be. I'm going to turn it to Mike.
Mike Mason: Sure, yes. So, the costs for that work with SIENDO are in the expense guidance that we gave this morning, which is again between $200 million and $215 million of OpEx for 2019.
Unidentified Analyst: Okay, great. Thank you.
Dr. Michael Kauffman: Just to add to that quickly, I think it’s important to take any of these -- especially these new programs in the context of what potential market size we’re looking at. There are currently no maintenance therapies available approved at least for patients with endometrial cancer. This is in stark contrast to a very answer where PARP inhibitors have been important and life extending therapies in the maintenance setting. So, we’re looking to do that. As you know, our drug has a broad mechanism of actions. So, we don’t have any particular genotype specified uterine cancer. But following initial platinum-taxol therapy, our drug would come in as maintenance therapy for those patients, which is the vast majority who receive and who obtain at least a partial response or a complete response to their initial therapy. We think that -- we estimate the size of these markets are well north of $500 million and could be as high worldwide as $1 billion. So, these are -- this is a substantial market with a substantial unmet medical need.
Operator: Thank you. Our next question is from Ying Huang from Bank of America Merrill Lynch. Your line is now open.
Unidentified Analyst: Hey, guys. This is Alec on for Ying. Thanks for taking our questions. My first is on selinexor and DLBCL. Do you view the NDA submission in DLBCL is contingent upon approval in multiple myeloma, given they’re quite different diseases. And SADAL, like STORM, it’s a single arm study. So, I guess how do you plan to frame the NDA, given the FDA’s preference for randomized controlled studies?
Dr. Michael Kauffman: Yes. Let me start with the second question. The difficult in DLBCL is that for patients who are not eligible for transplant or those that have progressed following either transplant or CAR-T therapy, there are no approved therapies, and there is frankly no standard of care, and a quick look at the NCCN guidelines will verify that. So, it’s virtually impossible to design a study that has appropriate control arm. People have tried in the past. And they have even tired sort of dealer’s or physician’s choice control arms, and they just don’t accrue and there is little interest. So, we designed the SADAL study with the goal to show single agent selinexor activity, which in and of itself is a very important demonstration. The reason for us giving a little bit of wait and see on the exact SADAL filing is because we don’t want to end up in a situation where we have another ODAC around the single arm trial in DLBCL as we did in myeloma. So, we want to work with the FDA and we are working with the FDA to make sure that we’re all on the same page as they review this. I should mention about 80% of the NDA for SADAL has already been reviewed by FDA in terms of safety data. So, what they’re really reviewing is the efficacy data from the SADAL study and any updated data from ongoing trials that we would provide. And so, want to make sure we’re completely walking together with FDA and not end up with a difficult ODAC. If we do have to delay at a total BOSTON top line data available, we could. But, we are thinking that if we have good discussions with FDA and move forward with the myeloma approval, they would be open to independent SADAL NDA, which could come in before the BOSTON data.
Unidentified Analyst: And as you’re sort of in a holding period here waiting for the approval on multiple myeloma, how are you managing the prior commercial ramp? Mostly, I guess I’m wondering how you’re utilizing the sales team right now. And if the PDUFA were to be delayed further, how do you plan to manage G&A expense for the rest of the year? Thanks.
Dr. Michael Kauffman: Yes. This is Michael. I’m going to turn it over to Anand Varadan, our Chief Commercial Officer. Anand?
Anand Varadan: Yes. Thank you for the question. So, first of all, our full field organization is hired and in place and trained to the extent that’s possible on the disease state and in terms of the customer base and the like. And they’ve also now -- we’re using this timeframe for approval to engage with the customers in an appropriate way. So, to educate them for example around the mechanism of disease, they have materials in order to do that and to really make sure that they understand the role of SINE technology and around nuclear export as it plays a role within cancer because that’s a new area in terms of mechanism but not necessarily familiar with this customer base. We’re also using this time to really profile these -- the customers and try to understand what the movement of patients are through their various practices, where they’re likely to be given the label that we would anticipate or the kinds of labels that we might be able to anticipate for selinexor when it’s approved as well, so we can be in the strongest possible posture to have a strong ramp for the commercial uptake after approval.
Operator: Thank you. At this time, I'm showing no further questions. I would like to turn the call back over to Michael Kauffman for closing remarks.
Dr. Michael Kauffman: Just to say thank you everybody again for joining today’s call. And have a great day. Bye-bye.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes the program. You may now disconnect.